Operator: Greetings. Welcome to the Allego First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note this conference is being recorded. I will now turn the conference over to Sari Schwartz, Investor Relations Associate. Sari, you may now begin.
Sari Schwartz: Good morning. I want to welcome everyone to Allego's first quarter 2023 earnings call. Today's speakers are Mathieu Bonnet, Chief Executive Officer; and Ton Louwers, Chief Financial Officer. During today's call, we may make certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on current expectations and assumptions and as a result are subject to risk and uncertainties. Many factors could cause actual events to differ materially from the forward-looking statements made on this call. For more information about these risks and uncertainties, please refer to the factors referenced in today's press release and the risks factors and other disclosures in the company's filings with the Securities and Exchange Commission. Readers are cautioned not to put any undue reliance on forward-looking statements and the company specifically disclaims any obligation to update the forward-looking statements that may be discussed during this call, except as maybe required by law. During our call today, we will also reference certain non-IFRS financial information. We use non-IFRS measures in some of our financial discussions, as we believe they provide useful information to management and investors regarding certain financial and business trends related to our financial condition and results of operations. We believe that the use of these non-IFRS financial measures provides an additional tool for investors to use in evaluating projected operating results and trends in comparing our financial measures with other similar companies, many of which present similar non-IFRS financial measures to investors.  The presentation on this non-IFRS financial information is not intended to be considered in isolation or as a substitute for or superior to the financial information prepared and presented in accordance with IFRS as issued by the IASB. Reconciliations of IFRS to non-IFRS measures as well as the description, limitations and rationale for using each measure can be found in our filings with the SEC.  I'll now turn the call over to Mathieu Bonnet, CEO.
Mathieu Bonnet: Thank you, Sari. Good afternoon everyone and welcome to our first quarter 2023 earnings call. I will begin today with a brief overview of our results, followed by an update on some recent milestones before turning the call over to Ton Louwers, our CFO, for a closer look at the numbers.  I am very pleased with our first quarter 2023 results, which reflected strong demand for our charging network that has nearly tripled our charging revenue year-over-year. We reported €38.8 million in revenue, a 27.4% increase compared to the prior year period of €30.5 million. Our charging revenue increased 166.7% to €27.8 million, while our services revenue decreased 45.4% to €10.9 million. The decline in service revenue was anticipated as we focus on our core charging business.  The decrease was driven by the lower revenue from the Carrefour project in line with expectation. The ongoing recurring phasing of this project weights the revenue throughout the second half of 2023. Meanwhile, new services contracts are starting that will kick in revenue later on this year. Very importantly, our charging revenue was strong, which comes from a much higher utilization rate, the growth of the energy sold with a strong stream of new ultra-fast chargers being installed during the last 12 months and a robust charging price that demonstrates our pricing power.  We saw growth across all our key metrics. First quarter 2023 total charging sessions was to 2.6 million, an increase of nearly 23%. The first quarter 2023 utilization rate of 13.1% compared to 7.7% and first quarter 2023 total energy sold climbing by almost 54% to 49.4 gigawatt hours. This is all in comparison to the prior year period. The energy sold represents 246 million of kilometers driven, and because we are supplying green electricity to our chargers, the use of our chargers avoided the release of 39,000 tons of CO2.  Our first quarter 2023 operational EBITDA was €8.9 million compared to €1.5 million in the prior year period. The increase was due in part to three price hikes through 2022 in January, September and October. None of the price increases, however, triggered a decrease in utilization rate or energy sold, demonstrating our strong pricing power. These measures linked with lower cost of energy during the quarter led to a strong recovery of our gross margin in charging revenue, especially for our ultra-fast charging.  In the early months of 2023, we successfully finalized three additional PPAs contracts with renewable assets in Germany and the Netherlands. Each of these agreements span a duration of 10 years. At this point, we have already secured a total energy supply of over 160 gigawatt hour for 2023 and 2024. Notably, these contracts will secure us highly favorable fixed price, enhancing the overall attractiveness and margin of our energy procurement strategy.  Our significant progress towards covering 80% of our energy requirements with renewable sources by the end of 2023 underlines our commitment to sustainable practices and reinforces our position as a leader in the adoption of clean and environmentally friendly energy solutions. With this credit [ph] in place, we believe that we are now well equipped to face the potential volatility of energy prices for our charging business line going forward. Our strategy is to focus our charging business on our own network. It is anticipated to become more and more important in our revenue mix compared with services and provide margin stability and growth going forward.  Now turning to some commercial developments during the first quarter of 2023, I would like to highlight the following one. The porta deal in Germany that has been executed, which represents 1,500 fast and ultra-fast charging points, which is an increase of the global capacity in Germany for fast and ultra-fast charging by more than 10%. It is the largest development contract signed by Allego to date.  Looking at our growth ahead, our backlog continues to expand meaningfully as a result of higher demand for electric vehicle charging and our size and scale to create additional momentum for our partners. We had a secured backlog of more than 1,300 sites at the end of March 2023. All of these sites have sign up or lease terms of an average of 15 years and include approximately 8,600 fast and ultrafast charging ports.  Our growth will reach out to majority of the European people in the near future. As Ton will highlight, we are reiterating our outlook for 2023. We expect annual revenue in the range of €180 million to €220 million and annual operational EBITDA in the range of €30 million to €40 million. From top line perspective, we will continue to benefit from the growth of the market, robust utilization rates and additional site deployments all over Europe, focused on fast and ultra- charging. Utilization rates for the early part of 2023 have been solid, and we expect that trend to continue.  From a margin standpoint, the action we took throughout last year and so far in 2023, including the price management of our station, the managed energy input price through our PPAs and rigorous management and optimization of our resources should continue to benefit Allego in 2023 and drive margin and operational EBITDA growth.  Before turning the call over to Ton, I want to emphasize our unwavering confidence in our business strategy, which is bolstered by a favorable demand environment aligned with our model. We predict ultra-fast charging will be again critical to provide the necessary energy to power the 20x growth from now that is expected in the number of electric vehicles in 2035.  With that, I will turn it over to Ton for an overview of our financials. Ton?
Ton Louwers: Thanks, Mathieu, and welcome everyone. I will begin by summarizing our financial results for first quarter ended March 31, 2023 followed by a review of our balance sheet, cash flow metrics and capital structure before closing with our guidance for full year 2023.  Starting with a brief summary of our first quarter 2023 results. Total revenue for the first quarter of 2023 was up 27.4% to €38.8 million compared to €30.5 million in the first quarter of 2022. The improvement was driven by strong growth in charging revenue. Charging revenue grew 166.7% to €27.8 million with charging sessions climbing 34.5% to €2.6 million from €2.1 million.  In addition, we benefited from the price hikes that we implemented in 2022 to offset higher input costs. Services revenue decreased 45.4% to €10.9 million compared to €20 million for the first three months ended March 31, 2022. Lower services revenue was largely on account of an anticipated decrease in revenue on the capital project.  First quarter operational EBITDA was €8.9 million compared to €1.5 million for the three months ended March 31, 2022. The improvement was due to combination of expanding operating leverage and the three price hikes in 2022.  Gross profit for first quarter '23 was €13.4 million, up 190.9% from €4.6 million in the first quarter of 2022. Gross profit was positively impacted by our pricing actions, the first PPA being put into force and the sale of carbon credits.  General and administrative expenses were €19 million in 2022 versus €244.4 million in the first quarter of 2022. The improvement of these expenses was mainly on the account of lower share-based payment expenses of €227.5 million.  Moving to finance income. The first quarter 2022 finance costs were €8 million compared to finance costs of €117.9 million in the year ago period. The change was mainly as a result of the recognition of €115.5 million of mark to market adjustment income from the warrant liability in the first quarter of 2022.  Net loss for the first three months ended March 31, 2003 was €13.2 million compared to €351 million during the first quarter of 2022. The reduction in net loss was due to lower stock-based payment expenses of 227.5 and the drop in finance cost as described.  First quarter 2023 operational EBITDA was €8.9 million, up from €1.5 million in the prior year period. The significant climb in operational EBITDA was largely driven by the three price hikes we implemented in 2022, which led to stronger gross margins in charging revenue, especially for our ultra-fast charging in the first quarter of 2023.  Moving to our key balance sheet figures and the main movements. PP&E for the first quarter of 2023 was €140.4 million compared to €134.7 million a year ago, following the first investments made in the European HPC network. Our cash and cash equivalents as of March 31, 2023 were 27.9 million reflecting investments made in our HPC network as well as normalized working capital requirements.  Furthermore, we experienced some delayed invoicing at the end of 2022 and the beginning of 2023 due to change in EV [ph] regulations in Europe. This caused an incremental increase in receivable and has begun to abate. We continue to maintain ample liquidity through our cash on the balance sheet, approximately 100 million remaining on our credit facility and improving funds from operations over the next 15 to 18 months.  We had a secured backlog of 1,117 sites at the end of March '23. All of these sites are signed up for lease terms of an average of 15 years and include approximately 8,600 fast and ultra-fast charging ports, which translate into growth of more than 90% from December 2021.  Moving to our guidance. We are reaffirming our 2023 expectations of generating revenue between €180 million and €220 million and operational EBITDA between €30 million and €40 million. Total energy sold is anticipated to be between 215 and 225 gigawatt hours for the full year.  We expect service revenue growth to be driven by the Carrefour project, which should be running at scale in the second half of 2023. Charging revenue is also anticipated to grow further as we expand our network and the transformation of Europe's EV charging infrastructure continues at pace.  I want to briefly remind everyone of the role that PPAs play in our overall strategy before turning to margins. We have signed three long-term PPAs with leading independent power producers to supply renewable and reliable energy for 10 years at lower and fixed costs. These PPAs are effective beginning January 1, 2023.  Such agreements are key to our cost optimization strategy, because they help mitigate volatility across our most significant input cost, the cost of electricity by locking in a low price for 10 years, thereby stabilizing our overall long-term input prospects. We expect to sign additional PPAs to cover more than 80% of our operations by the end of this year.  In terms of margins, we believe there's a significant upside potential. Our gross margin improved meaningfully during the first quarter of 2023 as we realized the full impact of the price hikes throughout last year. In 2023, we anticipate gross margin to improve beyond current levels as we benefit from the combined impact of both 2023 price increases, the lower input cost base from the PPAs, the shift in revenue mix towards services, and the operation of the Carrefour project at scale.  Among other things, our guidance assumes that energy prices are expected to remain high and/or around current levels for the foreseeable future, and excludes the impact of any potential future sites, assets and acquisitions.  With that, I'd like to hand back to Mathieu.
Mathieu Bonnet: Thank you, Ton. In conclusion, I am delighted with the progress we have made in the first quarter of 2023. Our positive momentum is strong, and we are laser focused on our strategy to roll out our long-term plan with the big ultra-fast charging. Our pipeline contains an impressive array of fast and ultra-fast chargers, ensuring revenue visibility not only for this year but also for the years ahead.  Our technological superiority and extensive network coupled with our reliable service have played a critical role in establishing a loyal customer base. In line with our growth plan, we have made significant strides in realigning our cost base to mitigate the impact of commodity price fluctuation. The recurring high gross margin profile of our charging business affirms our pricing power, which will continue to drive our success and profitability in the future.  Moreover, we are confident that the current high demand for electric vehicles in Europe will persist, propelling the acceleration of the e-mobility revolution. Lastly, I would like to express my gratitude to all the members of our Allego team for their unwavering commitment and dedication to the company. Their efforts have been instrumental in our success so far.  With that, operator, we are ready for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. Thank you. And our first question is coming from the line of Matt Summerville with D.A. Davidson. Please proceed with your question.
Matt Summerville: Good morning. A couple of questions. First, just one point of clarification. Ton, you referenced 1,117 sites in secured backlog. I believe Mathieu referenced 1,300. What's the difference there, because they're both mentioned differently in the press release and I just want to make sure I understand how you're characterizing that?
Mathieu Bonnet: Yes, sure, Matt. So the 1,300 was the backlog at the end of March 2023. And the one Ton expresses is the one at April. We have begun a big roll out of this site. And so that's why there is a difference. So all these sites are not finished yet, by the way, but the construction has begun. And in May we have new figures, of course, but we had a decade at least and the figures that Ton gave us, it is end of February.
Matt Summerville: And just as we think about your EBITDA guidance for the year, you did 9 million in EBITDA in Q1. Obviously, you're already annualizing towards the midpoint of that guidance range. How should we be thinking about the seasonal cadence and do you see EBITDA headwinds from here relative to how you performed in Q1 in the context of your guidance?
Ton Louwers: You're breaking up a bit, Matt, but I think I got the question. So the seasonality here, if you look at the charging revenue, it's a pretty straight line. It will increase over time, of course, because of the extension of the network. It's the sales and service part that is, let's say, a bit more skewed towards H2 than it is to H1. But I think the 9 million that we see today in the first quarter is I think a good representation what we think it will look like every quarter, quite frankly, because we see that actually predominantly charging revenue is already let's say making up for all of the SG&A, et cetera. So that's I think what we always discussed that we want to reach that point quickly. And depending on the development of the Carrefour project in particular and maybe one or two that we will add this year, you'll see an upside potential, let me put it like that. But for now, we think it's pretty evenly skewed over the year with a bit more weight in H2.
Matt Summerville: Understood. Thank you, guys.
Operator: Thank you. [Operator Instructions]. Our next question is from the line of Doug Becker with Capital One. Please proceed with your questions.
Douglas Becker: Thank you. I was hoping to go into some more detail about the expectations for utilization. It dipped a little bit in the first quarter but I assume that's largely seasonal, and particularly thinking about the second quarter in light of the lower public charging port count that we saw this quarter.
Mathieu Bonnet: Yes, sure. We expect to have -- for this quarter, second quarter of the year, utilization rates around the same level as Q1, because it's an average and we are increasing the number of chargers. So of course the last charging station opened, they need to be known. And as well, they want to -- their utilization rate is lower. So on average, that's the reason why we may end up at the same level as Q1, but it means as well that's the oldest and the older station are growing. And that's I think very important for us and interesting that we are offering more charging station per station along the way. And it comes from, of course, the number of cars that we hire on a quarterly basis, but as well because we are based on premium sites, which are trucks, EV drivers.
Douglas Becker: That makes sense. But wanted to understand the public charging ports declined 1Q versus 4Q. I guess your point is it's going to be increasing in the second quarter.
Mathieu Bonnet: Yes, actually what happened is that we have -- when you look at the figures, and we are already focusing on ultra-fast chargers, we are increasing the number of public ultra-fast, we own one and that's important to specify. And so we see that we are increasing our stocks in Q1 and we are going to increase more again in Q2 and the next quarters of this year. And when you look at our figures in the release, ultra-fast own charges were at the end of the April at 938. Whereas at the end of March, we were at 896, meaning that yes we are increasing. And if I compare with end of year 2022, we were to be precise at 749. So we get new momentum. And that's the reason why we said that, during the presentation, we are installing more and more ultra-fast chargers. That is really our core focus. And, again, that's the reason why with this new charging station and these new charges, they need to have a kind of ramp up in order to catch up with the average utilization rate.
Douglas Becker: Got it. And then a housekeeping question. Just a little more color on what's included in the business optimization costs that are added back to the operational EBITDA. It was around €18 million last quarter, down to around €2 million this quarter. Really just trying to think about what's included and what to expect going forward.
Ton Louwers: Yes, so the -- I think what you can expect going forward is that it will get less and less. The two main elements here is the final bit of some support that we got internally to be able to cope with the compliance side, especially on the financial reporting side, so IFRS specificities, et cetera. Plus the decrease in our D&O liability insurance that we also announced actually for our '22, so that's 1.4 out of the two. There's some smaller bits and pieces in there. I'm happy that if we even were to take or to include that, we would still have a positive EBITDA, right? So it's going absolutely into the proper direction. And going forward, you will see this getting less and less, and ultimately probably disappearing.
Douglas Becker: Perfect. Thank you.
Mathieu Bonnet: Maybe just to add on this. If you take the operational EBITDA and deduct the interest on our debt and the cash from tax, we are positive. So that's kind of my summary going forward this quarter.
Douglas Becker: Thank you.
Operator: Thank you. At this time, we've reached the end of our question-and-answer session. I'll turn the floor back to management for closing remarks.
Mathieu Bonnet: Thank you. For this presentation, I would like to first of all to stress and highlight the fact that we are increasing now and we are fully on our plan to roll out our ultra-fast chargers. And you have seen that with these figures. And I do think that we have reached very important milestone as well in terms of operational EBITDA nearing €9 million.  And the way forward, we consider that it will be a good level for the year. And it means that we have a strong -- and [indiscernible] utilization rate, we have the strong usage of our chargers because of the quality of our site and because as well we are able to give the drivers the right services in order for them to charge. So I think that's the way forward and here we are reaching some big milestone for the company.  With that, thank you very much for your questions.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time. We thank you for your participation.